Elizabeth Shores: Hi, everyone, thanks for being here. And welcome to Exodus' First Quarter 2025 Earnings Conference Call. I'm your host, Elizabeth Shores, and with us today are Exodus' Co-Founder and CEO, J.P. Richardson; alongside CFO, James Gernetzke. Now during today's call, we may make forward-looking statements. The company cautions investors that any forward-looking statement involves risks and uncertainties and is not a guarantee of future performance. Actual results may vary materially from those expressed or implied in the forward-looking statements due to a variety of factors. These factors are described in forward-looking statements in our earnings press release and our most recent Form 10-Q filed with the SEC, available on the Investor Relations portion of our Web site. We do not undertake any obligation to update forward-looking statements. So you can feel free to visit our social media on X or Reddit to submit any questions you may have about this quarter to our Investor Relations team after today's call. With that, I'm going to turn it over to our CEO to walk us through the quarter. JP, the floor is yours.
J.P. Richardson: Thank you, Elizabeth. And thank you, everyone, for joining us today. I'm pleased to be here. Q1 was our first full quarter of trading on the NYSE America. Exodus delivered operational excellence, celebrating our second best quarter of revenue ever. First quarter revenues were $36 million, which is an increase of 24% year-over-year. The quarter is a further validation of our innovative and user friendly crypto products that consumers trust and love. Our products are designed to place value of crypto in the hands of everyone. We believe everyone now and in the future will benefit from digital asset technology, even if they don't know they were using crypto. Crypto rails are efficient and they empower the consumer. Exodus makes beautiful products to harness blockchain technology for the average consumer. A perfect example of this is Echo. Echo is our product using our newest PassKeys wallet technology. It is a demo product we created to highlight the power of our PassKeys wallet solution. Echo enables crypto payments on the X platform, allowing anyone to send crypto to anyone with an X user handle with no need for complicated addresses or even for the recipient to have a wallet. In addition, since we're using our PassKeys wallet technology, consumers don't even have to worry about the hassle of a 12-word secret phrase. Echo also allows content creators to accept crypto tips from the communities they cultivate. We created Eco simply as a demo, a demo that leverages gamification to grow the user base. And it has resulted in over 1.2 million PassKeys wallets being created to date. While we do not anticipate Echo itself having a material impact on our business, we are very pleased with the results of this demo. We plan on incorporating these lessons into future products on our roadmap. Moving on from Echo. Our core product, Exodus Mobile, is now faster and more beautiful. If you update to the latest version, you will see these updates. Again, more bolder, more beautiful and faster than ever and includes real time prices. Our aim is to create an emotional experience for consumers, experiences that make them feel as if they are viscerally a part of the action happening in the market. And long term, our aim is to bring real world utility to consumers to empower them, to leverage crypto, to bring utility in their daily lives. More on this in a future update. Let's talk XO Swap. We're excited about XO Swap putting a big quarter with approximately 30% of the Q1 Swap volume, up from 19% in Q4. As a reminder, XO Swap is our multichain exchange aggregator technology, bundled up and white labeled for other wallets and industry projects to take advantage of. Including two new partnerships signed in Q1, we now have seven active partnerships and 13 signed partnership agreements, XO Swap is a key revenue growth driver and positions us to further expand our market share. We expect its momentum to continue because adopting XO Swap is a win-win-win, a win for Exodus, a win for our partners and a win for our partners' consumers. Let's talk a little bit about the industry and consumers using Exodus. You may have seen but deal activity continued throughout the crypto ecosystem even as crypto prices took a step back throughout Q1. Our industry stands to benefit from the more welcoming environment and the end of regulation by enforcement, especially in the United States. That said, the price of Bitcoin declined 12% in the quarter, and all coins in particular, recorded substantial losses. The price of Ether decreasing 45% and Solana decreasing 34% in Q1. So certain markets were already looking a bit rough by the end of Q1. Even before recent volatility around tariffs these macroeconomic headwinds impacted overall monthly active users. To add some transparency and clarity around our user base, we have data around quarterly funded users to our materials, and James will speak to QFUs shortly. On marketing, our marketing efforts continue to shine the spotlight on Exodus and you'll see us keeping a high profile by sponsoring key industry events, such as the upcoming Bitcoin Conference in Las Vegas with more such opportunities coming this year. The Bitcoin 2025 conference in Las Vegas is a logical place for Exodus to have a strong presence. As we have had a Bitcoin treasury strategy since our inception in 2015, except we are using our earnings to acquire more Bitcoin and crypto. And with that, Exodus predates the current trend of corporate Bitcoin ownership with over 2,000 Bitcoin already on our balance sheet. Exodus is positioned to benefit while we remain poised to address the future opportunities we might come across. And not to mention, we pay 100% of our salaries in Bitcoin. Yes, you have to take your salary in Bitcoin to work at Exodus. So you know we only have the most mission driven people working here. Switching gears to our Stock, EXOD. Our stock trading at NYSE America is off to a good start. Our liquidity has shown improvement over our OTC listing and the exposure of this national exchange listing dramatically enhances access to capital markets and brings many opportunities for Exodus and our shareholders. Looking ahead, we're encouraged by the prospects of regulatory clarity within the United States. We believe this will accelerate mainstream digital asset adoption. Our proactive engagement with policymakers is designed to produce clear regulation that protects innovation. I personally have been participating in the trenches, I have been invited to the first White House crypto summit contributing my feedback to administration and other crypto industry players. I've also had the good fortune of being invited to other events with David Saks and the President himself. These opportunities have allowed me to communicate what's most important for us at Exodus. And as always, I'm incredibly grateful to all of you who have joined our journey, creating useful blockchain products requires a large community of users and a deep well of developers. Of course, there would be no earnings call without you, the investor, and we look forward to bringing you news and results for many quarters to come. Thank you again for your continued confidence and support. Exodus remains extremely optimistic about future growth prospects of our wallet. Our appetite for M&A activity and partnership pipeline provide additional paths to victory. As we've said in the past, our strategies for driving performance and progress include growing and diversifying Exodus services, expanding our partnerships and making selective additive acquisitions. We'll continue to actively pursue these strategies. And now James is here to review our finances. James?
James Gernetzke: Thanks, J.P. From a financial perspective, the real highlight is that the Q1 was our highest first quarter revenue ever recorded, and it was our second highest revenue ever. So with that, let me jump into some details. In Q1, revenue was $36 million, that's a 24% increase compared to the same quarter last year. As J.P. mentioned, macroeconomic events created the headwinds that impacted the tail end of the quarter. We are no strangers to volatility at Exodus. Crypto markets historically have been the champions of volatility actually and Exodus has thrived over the last 10 years by not just preparing for but taking advantage of this volatility. A key example of leaning into that volatility is the exchange aggregation Crypto market volatility drives exchange aggregation and the volume generated from it, which was 94% of total revenue. XO Swap partnership activity also saw substantial growth. XO Swap is our exchange aggregator, package for use by our partners in the crypto ecosystem. Despite being the new product fully launched just last summer, we received meaningful value from XO Swap contributing 30% of Q1 volume, as you can see here, and 17% of the Q1 revenue. Now I'd also like to highlight that XO Swap received a large boost from one of our partners who ran a very highly successful promotional campaign during Q1. Now while this type of activity from our partners may cause lumpiness in the short term revenue we generate from our partnerships, it really highlights the power of the partnership model where the success and marketing efforts of our partners helped drive the success of XO Swap, which in turn generates more revenue share for us and for our partners. So over the next few years, as we grow our partnership ecosystem, this lumpiness should decrease. Exchange provider process volumes for the quarter were $2.1 billion, reflecting a 62% growth year-over-year and a 7% reduction sequentially, reflecting weaker short term conditions against longer term tailwinds of digital asset prices and the emergence of XO Swap. Monthly active users were 1.6 million. This 30 day trailing metric is down 30% sequentially and 6% year-over-year. The nature of the MAU metric is that it is monthly and it is a measure of activity. In months like March, financial market fatigue can have a dramatic impact on user activity. That does not mean that these users are gone for good. It simply means that in March, folks were not interested in looking at their portfolio. So to help provide a broader view, we have added quarterly funded users or QFUs to the presentation. This metric has two important differences versus MAUs. First, it has a longer time horizon. So one or even two months of market fatigue have less impact. And second, it adds a funding component, which means that a user has actually taken some of their money and trusted it on our platform and they were active in the quarter. So the level of trust of putting funds on our platform is very powerful and it really can not be overstated. And so with that lead in, you can see that quarterly funded users were 1.8 million and that's down 5% sequentially but up 6% year-over-year. As we move on to Echo, our PassKeys technology is demonstrated -- is a demonstration of how payments technology can be made very simple and so that people may not even know that the underlying technology exists. So that PassKeys technology stitches together the biometrics of your phone with a seamless and secure crypto wallets and payments. This means payments no longer require a routing and account number if you do a direct deposit, a credit card number with swipes, et cetera, or even a long bitcoin address. For example, PassKeys enabled Echo, a cool piece of tech that we built that allows transactions to be sent on the X platform. Now Echo is more of a demonstration than a full fledged product line. In its current form, Echo is not currently a source of revenue for Exodus. What Echo demonstrates is the adaptability of PassKeys technology while hinting at the countless potential use cases for our technology. Our balance sheet remains strong with $238 million in digital and liquid assets, no debt and continued growth in our Bitcoin holdings now totaling 2,011 Bitcoin as of March -- as of March of this year. As a reminder, we're early adopters of ASU 2023-08, which means our digital assets are recorded at fair value. So note that the $238 million was measured at the significantly lower prices we saw on March 31st. At today's prices, this would be closer to $280 million. A reminder that we have a Bitcoin treasury strategy, as J.P. mentioned, since our founding in 2015 and we received the majority of our revenue and we pay our largest expense, salaries in Bitcoin. So internally, our treasury strategy is, for us, a reflection of our success. So far in Q2, we have seen bitcoin prices rebound, which has driven volatility. Macro market uncertainty is still present but markets are adjusting. Through April 30th, we have seen $444 million in transaction volumes. May is off to a solid start with Bitcoin back over 100,000 and increased excitement driving higher swap volumes. And as mentioned in previous calls, we continue to evaluate acquisition opportunities. While I do not have a specific transaction to discuss or announce at this point, I will say that inbound activity remains elevated and we continue to believe that the industry will see consolidation over the next 12 to 18 months. And as one of the few publicly traded crypto companies and with our strong balance sheet, Exodus is well positioned to participate in that consolidation. Shifting gears just a little bit. I'd also like to comment on something that's gotten a decent amount of attention recently, stablecoins. Stablecoins offer an easy-to-understand crypto use case, providing cheap, fast and 24/7 payments on the most modern of payment rails. Total stablecoin issuance is currently $243 billion according to DefiLlama. We see stablecoins as growing into a multitrillion dollar market as they steal share from 50 plus year old payment rails like Swift and Visa. The opportunity is large. Swift alone processed 11 billion transactions in 2022, the last year disclosed any data, while Visa processed $13 trillion of payments in 2024. Of course, in order to use stablecoins, you need a wallet. As a multichain wallet provider, Exodus is well positioned to take advantage of the growth of stablecoins. We currently support all major stablecoins on multiple networks and our PassKeys technology makes creation -- wallet creation extremely easy, facilitating broader stablecoin growth. So in summary, Q1 leaves Exodus smartly positioned in the growing world of digital assets. We remain confident and excited about our strategic direction and we hold a deep commitment to shareholders. As J.P. mentioned, we are looking to grow our core wallet through increased visibility and marketing and we seek horizontal expansion through partnerships and vertical expansion through purposeful M&A activity. All of this while our developers at Exodus innovate relentlessly on future products. And Elizabeth, with that, we'll take some questions.
A - Elizabeth Shores: All right. Thanks, James. Lots to be excited about. And let's check the queue to see if we have any questions we do. We have Bill Papanastasiou from KBW Bank.
Bill Papanastasiou: The company is clearly making strong progress with the Ledger partnership. Hoping you could provide some commentary on how we could expect the cadence in the signing of additional partnerships trending forward?
J.P. Richardson: The Ledger partnership was a great partnership for us to sign and in addition to that, the Magic Eden partnership as well. But long term, we see our growth coming from additional partnerships. So I would expect that in time we will announce other big partnerships. All the big players out there we are talking to them. The reality is that a lot of these big players out there, they've built, they've spent years cultivating and building up tens of millions of monthly active users, tens of millions of users. And so they also have a consumer base that they want to provide great products to that work really well like XO Swap but they also know that consumers depend upon them for trust. So these conversations and deals take a long time to -- and if I told you how long some of these other deals that we've already signed, I wouldn't believe me, but they take a long time. So while I'd love to say next quarter, you can expect all of these big partnerships, I can't necessarily say that but know that we are actively talking to all of the big players. And again, we see this as a major growth driver for us, because when you look at like, let's say, historically, a deal like Ledger, Ledger's customers are really happy using the ledger hardware wallet. And we're not going to build hardware wallets anytime soon, actually, probably never. So -- but never say never, but probably never. So today, Ledger's customers enjoy using Ledger. And so the XO Swap product allows us to bring this swap technology to Ledger's consumers. So we see this as a great way to grow our customer base while leveraging other wallets and other platforms' audiences. So again, look forward to more announcements about this in the future.
Elizabeth Shores: Next up, we have Andrew Harte from BTIG.
Andrew Harte: I guess, maybe following up a bit on that last one. I think the number in the quarter was 30% of volume was from XO Swap, which is up from 19% in the prior quarter. And I think even the first two months of the quarter was about 23%, right? So I think it implies XO Swap volume really accelerated in the back half -- in the last month of the quarter. Can you, James, just help us think about the different revenue contributions and gross margin contributions of core aggregator versus XO Swap? And then broadly, more broadly, where do you see the mix of volume between XO Swap and core aggregation longer term?
James Gernetzke: So as I mentioned in the opening remarks, there was a highly successful campaign run by one of our partners. And that really drove some of that outsized performance in Q1 related to XO Swap. We're consistently working with all of our partners to understand when they might launch more campaigns and understand things. But it is -- ultimately, it's going to be their decision and their user base that they're marketing to and building all of these different campaigns for. So that makes it in the short term, and I know you've mentioned long term, but in the short term, it really makes it challenging for us to forecast XO Swap volume. XO Swap volume in general, it's off the -- no matter what, there is a rev share component or revenue share component, so it will be lower margin than our base exchange aggregator just by default. And then I think the last part of your question to answer long term. Yes, long term, you could see a number of different variations. As we sign more and more partners in some of these larger partnerships, absolutely, it could mean a much larger contribution to our overall volume and revenue. However, I wouldn't count out the base business and our users. There's some of these sponsorships and some of this marketing work that we're doing, but it is a wonderful product and it is something that everyone who -- especially in terms of cross chain swaps, anyone who has been a multichain product that really needs our XO Swap product. So it's -- there's quite a market out there for it.
Elizabeth Shores: And next, I see Kevin Dede from H.C. Wainwright.
Kevin Dede: So I was wondering if you could give us a little more color on the cross section of new partnerships that you've talked to. I think you said you had seven signed or seven active and 13 new sign-ups. And I think the big question really behind that is what are the makeup of those customers, what are they looking for? And how do you see them thinking or traditional finance thinking about incorporating crypto? And I think we talked about this the last time you guys reported. But I'd just like to -- given a couple of months of the new administration, maybe your thinking has changed a little.
J.P. Richardson: So these partnerships that we're talking to and the ones that we've signed, it's a mix from some of the ones that you might expect from wallets to Web3 projects. But what it really comes down to it's -- everybody is interested in supporting cross chain swaps, that's really what this comes down to because before we used to -- way back in the day, it was all about Bitcoin only, Bitcoin only, Bitcoin only. And then Ethereum came and created a great -- the world of Web3 that we know and love and the world of DeFi. But then Solana came along. And Bitcoin still still here as one of the major assets. So more and more chains are being created that bring more and more different sets of utility. But the reality is that to build a multichain product, whether it's a wallet or cross chain swaps or exchanges is very difficult. And so for a company like Exodus to have this offering, something that we've done since 2015 provides a lot of confidence for these platforms to use the technology that we've already built. So that's ultimately what they're looking at. And we see more and more of this kind of demand. I mean, we believe we're going to see more wallets not just focus on one chain but really expand their offerings across multiple chains that will allow us to have more potential XO Swap customers in the future.
James Gernetzke: And just to add on to that, I think the -- there is the other thing that I mentioned briefly in my remarks, which was stablecoins. Stablecoins right now are on a number of different chains or networks and there is no clear chain right now that has all of that stablecoin opportunity. So this -- and as I mentioned, stablecoins are going to grow exponentially. And no one knows for sure if there's going to be a winner, there almost certainly won't be however. And there will be a number of different stable coins and a number of different chains for many years, powering essentially the future of finance. And so this -- our XO Swap product is also well positioned from converting, say, USDC on Ethereum to USDT or tether on Tron. So those are all things that we actively support right now and do very well.
Elizabeth Shores: We have Ed Engel from Compass Point. We can't hear you. And we are going to come back to you. But Kevin, go ahead, Kevin Dede from H.C. Wainwright.
Kevin Dede: But if Ed can't make it, I've got plenty more in my bag. So I was also hoping that you generally might share a little color on Echo. When do you expect to see it sort of launch commercially? And do you think it stays focused on X or are there other platforms you plan to bring it to, and have you seen interest in doing that?
J.P. Richardson: So echo -- what's great about Echo, again, is that we can leverage the PassKeys wallet technology to get 1.2 million people using this, 1.2 million new PassKeys created. So today, it is focused on X and we don't have any initial plans to bring it to other platforms, although, it's been a conversation internally that it's something that we could consider, whether it's Instagram or TikTok, right? Like the consumer base of TikTok and Instagram is very different than that of X. And so that's why we've chosen to focus just on X today, because you'll see a lot of influencers out there, some very famous influencers and they go and they create these MEAN coins. And they're talking about -- they're trying to build their community around these MEAN coins. And so we thought, well, what if we just start building tools, leverage the PassKeys wallet technology to start building tools to make it easy for these influencers. And so that's where we started. As far as your question goes about like kind of the commercialization of this product, ultimately, at the end of the day, absolutely, of course, if we could snap our fingers all of a sudden turn those 1.2 million PassKeys into high revenue generating customers, that's something that we would love to do. And obviously, we're not opposed to that but the intention here of Echo was not that. It was more about can we create a platform that's more focused on this whole world of Web3 and MEAN coins and remove crypto complexity, right? So no 12-word secret phrase, no addresses and no really thinking about, which blockchain I'm using, just really the ability to send value from one person to another person in an easy way. On top of that, I had referenced the aspect of gamification. And that's another aspect to this that we really wanted to experiment with. So instead of our core mobile product today, our core access mobile today, instead of throwing in a bunch of silly Web3 games and things like that into our core product, we didn't want to do that. We wanted to provide a better experience for our core mobile users, right? And that's why we went this other route. But we knew and know that there exits another group of people out there that really like the aspect of games, really like the aspect of MEAN coins. And we thought, well, why don't we try to build a product that could focus more on this segment and market. And so again, Echo today stands more a demo of our PassKeys' wallet technology. However, we're not going to let the 1.2 million PassKeys just go to waste. We're still going to experiment more and ultimately, it could turn into something in the future. But in the short term, that's not where our focus is. It was really more about demoing the technology, experimenting with gamification and driving results in that way.
James Gernetzke: And just to add on to that, I mean I don't want to front run the product team by any means, I'm the finance guy, definitely not the product guy. But you can see these things going into our product roadmap and into the things that we are building and the different products that we'll announce in the future, hopefully, in some of these future calls as well. So it is -- just to reiterate, as an experiment, it is not something that we expect to have an impact in 2025.
Elizabeth Shores: Next in the queue, we have Bill Papanastasiou from KBW.
Bill Papanastasiou: I just wanted to touch on take rates from exchange process volumes. How should we think about that metric trending into the future? How meaningful is having that Ledger partnership notch on the belt and how favorable could it be to securing a higher revenue contribution from new partnerships down the road?
J.P. Richardson: Just to jump in on that one. I would say that one of the best things about the Ledger partnership is the public nature of it and the name. If -- it's such a trusted brand in the space, much like Exodus that them taking and incorporating our XO Swap product and the success that it's actually had to date is a great case study, if you will, for every single other Web3 wallet provider or anyone else that we're out there talking to. It just -- out of the gate, it just demonstrates the highest standard. In terms of actual margins, I think that over time, obviously, we are working to improve take rates, et cetera, and add value to our partnership, the XO Swap model. However, because of the -- again, as I mentioned earlier, because of that revenue share component, it will never be as high as our base exchange aggregator. So the real thing to focus on beyond that is the -- our ability and a desire to -- as you can see with Echo, build new products, add new things that add value and incorporate that into our different offerings, whether those are in our base business, in our partnerships strategy or within some of the experiments like Echo. So I'd kind of leave you with that.
Elizabeth Shores: And now we're going to circle back to Ed Engel from Compass Point.
Ed Engel: As I've seen before, congrats on the market share gains across the exchange aggregation volumes. Two quick questions. First one on G&A. Just kind of curious, I know there's a lot of moving parts. You guys sponsored Crypto Ball and that looks like stock based comp ticked up a bit, which I'm assuming you might have something to do with just the rapid increase in the stock price. But just curious, I guess, what do you kind of view as a normalized G&A cost on a quarterly run rate moving forward?
James Gernetzke: You're right on stock based comp and the other things that you mentioned. We've definitely called out in the Q different areas that you can think of around some of the M&A costs, our rev share, some of the increased meeting and things like that, travel. We had a bell ringing event in Q1 in January, that's not something that we normally would -- we normally do. And then we had some political contributions. So of those -- those are probably going to be most of your variable drivers. Of those, obviously, we've talked very publicly about M&A. And so while I don't necessarily think that it will be 1.8 million every single quarter, we are definitely continuing a lot of work on that front as we mentioned in the remarks, Revenue share, again, is a function of XO Swap and the nature of XO Swap. And so you'll continue to see those. Those will be variable, obviously, with the actual volume that comes through the XO Swap product. And then I think the political contributions, I do believe that we will continue to be active in the industry. I think that J.P.'s work and others in the industries work has really shown the value to the industry and the importance of it in the industry. You could say that the industry woke up a little bit late in the last administration but I think we've come on pretty strong. So I'd say take some of those, as you will, along with some of the comments we've had on marketing.
Elizabeth Shores: I see Andrew Hart from BTIG in the queue.
Andrew Harte: You talked a bit about marketing and branding initiatives you're thinking about going forward, calling out the Bitcoin conference later this month. I guess, what channel do you view as most effective to get the branding and marketing kind of accelerate a bit? And what's your hope for user growth or maybe quarterly funded users as a closer KPI we should be watching?
J.P. Richardson: So really, when it comes down to marketing for us, it still comes to experimenting with different channels. So what do I mean by that, there are some proven channels like Apple search ads, right, those work and those drive growth for sure. But there's other channels that we've taken what I would call a risk on and they tend to really bring strong brand awareness. So what I mean by that is if you go back to January and our sponsorship of the Crypto Ball. So sure enough, when we were one of the headline sponsorships of the Crypto Ball, you had TMZ covering Snoop Dog being at the Crypto Ball and you see the Exodus logo right behind Snoop's head. So that brought a lot of awareness for Exodus. And so for us, we like to think of sponsorships and events that really bring kind of a unique angle to them. And so that's kind of how we think about it from the sponsorship of events. Now on the Echo side, part of the way that we drove a lot of growth with Echo was that not only did we have kind of this gamification in the app itself but we also leveraged a lot of Web3 influencers to -- on X. And so earlier, when I talked about the lessons, the roadmap, part of that is in the go-to-market of future products. So early on in our company's life cycle, way, way back in 2015, we just built a product and kind of launched it. And we did a few fun things but that's mostly what it was, and then same with Exodus Mobile. We kind of took the approach of if you build it they will come. That was then. Now we take a much more deliberate approach of thinking, okay, how do we actually take a new product to market and drive a significant amount of growth. And the answer to us is it's a combination of a number of those things. It's traditional ad channels. It's sponsorship of really key and exciting events. It's using influencers to really talk about the product and use products. So it's all of these different aspects that we believe will really drive growth for all of our products in the future.
Elizabeth Shores: Yes, thanks for asking. That's a phone on to unpack. Well, everyone, that is bringing us to the end of our Q&A session. Thanks to J.P., James and all of our analysts and all of you who joined the call today. You're invited to visit our social channels on X and Reddit to submit any questions you may have for our management for the first quarter. Our Investor Relations team is standing by. So thanks for joining us today and we'll see you next quarter.